Operator: Thank you for standing by, and welcome to the Duck Creek Technologies First Quarter Fiscal 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session.  As a reminder, today's conference call is being recorded. I will now turn the conference to your host, Mr. Brian Denyeau from ICR.
Brian Denyeau: Good afternoon, and welcome to Duck Creek’s earnings conference call for the first quarter of fiscal year 2022, which ended on November 30. On the call with me today is Mike Jackowski, Duck Creek’s Chief Executive Officer; and Vinny Chippari, Duck Creek’s Chief Financial Officer. A complete disclosure of our results can be found in our press release issued today which is available on the Investor Relations section of our website. Today’s call is being recorded and a replay will be available following the conclusion of the call. Statements made on this call may include forward-looking statements regarding our financial results, products, customer demand, operations, the impact of COVID-19 on our business and other matters. These statements are subject to risks, uncertainties and assumptions and are based on management’s current expectations as of today and may not be updated in the future. Therefore, these statements should not be relied upon as representing our views of any subsequent date. You should not rely on forward-looking statements as predictions of future events as actual results and events may differ from any forward-looking statements that management may make today. Additional information regarding the risks, uncertainties and other factors that could cause such differences appear in our press release and the Duck Creek’s latest Form 10-K and other subsequent reports filed by Duck Creek with the Securities and Exchange Commission. We will also refer to certain non-GAAP financial measures to provide additional information to investors. A reconciliation of non-GAAP to GAAP measures is provided in our press release with the primary differences being stock-based compensation expenses, amortization of intangibles, change in fair value of contingent earn-out liability, and the related tax effects of these adjustments. With that, let me turn the call over to Mike.
Mike Jackowski: Thank you, Brian, and good afternoon, everyone. Let me start by wishing all of you and your families a happy New Year. We are off to a great start to the year, and I’m pleased to report that Duck Creek delivered on strong first quarter performance that reflects our continued success as a cloud platform of choice for the P&C insurance industry. We are pleased with our ability to add new logos and drive greater adaption from our install base of OnDemand customers, which now exceeds 75 insurers. Let me start with a quick overview of our financial results for the first quarter. We reported total revenue of $73.4 million, up 25% year-over-year. And this was underpinned by our subscription revenue, which is our revenue derived from SaaS of $35.7 million, up 28% year-over-year. Our annual recurring revenue or ARR was $145.5 million, which resulted in 40% growth over the prior year. And we are also profitable in the quarter with adjusted EBITDA of $7.8 million. During the quarter, we signed more than 10 SaaS deals across new customers and with existing customers who either expanded their usage of Duck Creek OnDemand or adapted new SaaS solutions from us. This is a healthy mix of activity that reflects our powerful land and expand selling model and the continued investments we are making in our SaaS solutions. Our success in the quarter is just the latest indication that insurers are embracing the superior scalability, flexibility and time to value that a true cloud platform like Duck Creek OnDemand can provide to their businesses. Insurers are operating in markets that are evolving rapidly and are more dynamic than ever before. They need core systems that enable them to innovate more quickly and enhance our overall customer experience, so that they can thrive in these market conditions. We are continuing to demonstrate success with insurers of all sizes, who have chosen Duck Creek OnDemand, which highlights the value and competitive advantage that we provide to our customers. In the first quarter, we signed an exciting new Duck Creek OnDemand deal with SECURA, a leading North American P&C insurer with operations in 13 states. SECURA will be deploying our Duck Creek policy, rating, billing, claims and insights OnDemand solutions, as well as several of our anywhere managed integrations to power the next generation of its specialty lines business. We were selected after a lengthy and rigorous technical evaluation where SECURA evaluated several competing platforms. SECURA ultimately selected Duck Creek for several reasons. The first was the strength of the Duck Creek platform. And most notably, our low code configuration and open API architecture. SECURA recognize that our platform was best-positioned to increase their time to value and streamline their overall operations. The second was the ability of SECURA's team to leverage our platform to access our insurer tech partner ecosystem, which now includes 65 partners to improve how SECURA configures its products and expands into new markets. Finally, as our CIO noted, SECURA view Duck Creek as a true partner, not just a vendor. This is exactly the type of relationship we strive to build with each of our customers and we're excited to be partnering with SECURA on their digital transformation. We also made significant progress on our efforts to build out our international presence, which includes multiple new customer wins and expanding our ecosystem. While still very early, the success we had in the first quarter is an important validation of the opportunity outside of the United States. In the quarter, we signed two deals with international customers. First, Adiona, a UK-based start-up insurtech provider that will be launching a unique motor insurance offering in 2022, recently signed an agreement with us to deploy their new innovative usage-based product on Duck Creek OnDemand policy, billing and claims. Adiona needed a true cloud partner that it could count on to scale with its growth ambitions and help deliver on their mission to provide a compelling end-to-end digital experience for their customers. We believe this is a great example of how Duck Creek can play an important role in powering the tremendous innovation we are seeing across the insurance ecosystem. We also signed an important win in Australia with Argyle Insurance, a newly established innovative small commercial carrier, who is focused on redefining how insurance is simplified and streamlined for small and medium enterprises. Overall, we have been pleased with the early success that we are having in the Australian market, which is why we recently announced a number of product investments for Australia, including localized workers’ compensation packages and a claims benefit calculator for New South Wales, Australia's largest state. Adiona and Argyle are positive early examples of the progress we are making internationally. Even as we continue to deal with the impact of the pandemic, we are incredibly excited about the long-term opportunity outside of the United States. And wins like these are important for establishing the Duck Creek brand and referenceable customers in local markets. As I mentioned on our last earnings call, we will continue to invest in our international capabilities in fiscal 2022 with a particular focus on large global carriers, an important part of building out our international presence, our partnerships that expand the value we can deliver. To that end, we're pleased to announce multiple partnerships that enhance our capabilities in specific markets. For example, we recently signed an agreement with Experian that will directly integrate their iCache dataset into Duck Creek OnDemand to better serve the UK insurance market. This will provide insurance with pre-built consumer data integrations that they can use to improve their operational efficiency and user experience. We also recently signed a collaborative agreement with TIREA, an organization in charge of offering value-added IT services to insurers; and UNESPA, the association for insurance companies operating in the Spanish market. This agreement will facilitate the integration of Duck Creek solutions into the Spanish market and allow Spanish insurers to design, test and deploy new products faster than ever before. The alliances with Experian and TIREA are great examples of the type of local relationships we are looking to build as we continue to develop our international go-to-market efforts. In addition to these new wins, we also expanded our engagement with several existing customers, including Core Specialty, Builders Mutual, Distinguished Partners and Great American Insurance, among others. And now to focus on customer success, we had several notable product deployments in the quarter as well, including Distinguished Partners where they are able to go live with their commercial property program in 14 states in approximately 150 days from the inception of the project. Great American Insurance, a highly respected Tier 1 insurer, known for their innovative and specialty commercial products, deployed their package policy on Duck Creek OnDemand in all 50 states. And finally, AXIS Insurance, who brought a new insurance offering to market for home-based businesses comprised of four key coverage lines, professional liability, cyber, crime and content, and they deploy the solution to their brokers in under five months. We also continue to invest and enhance our leading SaaS solutions on an ongoing basis, ended helping our customers continue to be more agile, efficient, and make smarter decisions through data intelligence. Here are just a few highlights of our product updates this past quarter. We enhanced our policy and billing user experience platform to incorporate two new capabilities. First, mobile native presentation. This provides a more consistent experience for end users across various form factors, allow insurers to reuse Duck Creek and customize page designs across multiple channels and devices. Second, we added data visualization, which presents data in new informational and visual ways, allowing a user's attention to be drawn to important key areas of a page or screen. In Duck Creek Claims, we launched a series of updates that will help improve overall systems integration, operations and speed deployments. Some examples include: first, international enhancements, a series of in-depth enhancements that improves configuration to support multiple geographies on a single platform, such as managing tax and VAT, time zone and localized embedded logic. Second, our claims migration service, a productized solution that enables carriers to quickly and efficiently migrate data from multiple legacy and existing systems into our Duck Creek OnDemand environment, which dramatically reduces conversion timeframes and improves data quality. And third, our enhanced open APIs. We added over 200 new RESTful APIs to our claim solution, which expands the openness of our platform. Our new APIs can also provide programmatic ways to integrate both development and operations architecture with the carriers customized DevOps processes. Finally, we also launched Duck Creek OnDemand consumer access offering, which extends Duck Creek's core functionality to the consumer channel, providing tools in a secure infrastructure that allows carriers to expose applications to policyholders and anonymous shoppers without the need to deploy redundant solutions or infrastructure. As we look ahead to the remainder of the year, we are focused on executing on the incredible opportunity in front of us. We continue to see significant growth in our pipeline with both new and existing customers across all tiers. As we mentioned last quarter, we are particularly focused on some important Tier 1 accounts. We have seen some great success in recent quarters. We are very encouraged by the strategic conversations we are having with these carriers and the progress they are making in developing long-term digital transformation roadmaps. Before I turn the call over to Vinny, I just want to reiterate that we are pleased with the start to the fiscal 2022, and we are incredibly optimistic about the future for Duck Creek. Customer interest in Duck Creek OnDemand continues to grow as insurers fully appreciate how we can improve their operational performance across multiple dimensions, while providing significant financial benefits. We're in the early stages of the P&C insurance industry moving to the cloud, and Duck Creek is in a terrific position to be a primary beneficiary, as insurers continue to look first to the cloud for solutions as they embark upon their technology strategies. I'd like to finish by thanking all of our employees, partners and our customers for the incredible work they do each and every day to modernize the insurance industry and position Duck Creek to fully capitalize on this incredible opportunity. With that, let me turn the call over to Vinny to walk you through the numbers. Vinny, over to you.
Vinny Chippari: Thanks, Mike. Today I will review our first quarter fiscal 2022 results in detail and provide guidance for the second quarter and full year of fiscal 2022. Total revenue in the first quarter was $73.4 million, up 25% from the prior year period. Within total revenue, subscription revenue, which is comprised solely of subscriptions for our SaaS products was $35.7 million, up 28% year-over-year. In Q1, subscriptions represented 81% of our software revenue, and 49% of our total revenue. Revenues from on-premise software licenses of $1.9 million and maintenance of $6.3 million, or 11% of total revenue. We expect these line items to continue decreasing as a percentage of revenue, given the strong growth in our subscription revenue. Services revenue was $29.5 million, up 26% year-over-year, driven by continued high demand for implementation services and strong utilization rates. SaaS ARR, which we calculate by annualizing recurring subscription revenue recognized in the last month of the period was $145.5 million as of November 30 2021, up 40% from the prior year. As a reminder, SaaS ARR is a snapshot in time of subscription contracts that are generating revenue during the last month of a period and can be impacted by timing. SaaS net dollar retention as of November 30 2021, was approximately 122%. This is another strong result, which reflects our continued success upselling and cross selling our customer base. As a reminder, our net retention is driven by a combination of high growth retention rates, sales of new products to existing customers, and growth of DWP for products already operating on our SaaS platform. We continue to believe that a SaaS dollar net retention rate in the 110% to 120% range is a good long-term target for our business. Now let's review the income statement in more detail. These metrics are non-GAAP unless otherwise noted, and we provided a reconciliation of GAAP to non-GAAP financials in our earnings press release. First, on a GAAP basis, our gross profit for the quarter was $42.5 million and we had income from operations of $1.9 million. We had net income in the quarter of $692,000, or $0.01 per share based on weighted average basic shares outstanding of 134.2 million. Turning to our non-GAAP results, gross margin in the quarter was $44.1 million or 60.1% compared to 61.6% in the first quarter of fiscal 2021. Subscription margin in the quarter was 63.3%. As we've noted each quarter, there can be quarterly variation due to timing of when revenue recognition begins for certain contracts, and the timing of expenses at various stages of new deployments. As indicated previously, we were benefiting from favorable timing in fiscal 2021 and expected gross margins to move back into the mid-60s in fiscal 2022. While we have experienced increased hosting costs in support of significant growth of written premium running on our platform, we do expect the remaining quarters of fiscal 2022 to show improvement in subscription gross margins. Professional service margin of 48% in the quarter was notably strong and well above our target range driven by robust demand and high utilization rates. Our services margin in Q1 was higher than we wanted, and we're committed to bringing them down throughout fiscal 2022 to more sustainable levels. Our goal is to bring them down several points through the fiscal year and longer term into the high 30s. Seasonally, Q2 has been historically below Q1 in both revenue and gross margin terms and we expect that trend to continue this fiscal year. Turning to operating expenses. R&D costs were $12.7 million or 17% of revenue, down year-over-year as a percentage of revenue. R&D expense growth of 14% compared to Q1 of fiscal 2021 was a bit below targeted levels based on the timing of new hires. We currently expect R&D spend as a percent of revenue to increase slightly through the remainder of the fiscal year, but still remain slightly lower than fiscal 2021 for the full fiscal year. We continue to balance the scale benefits of our R&D organization with increasing investments in our products and SaaS platform. Sales and marketing expenses were $10.7 million, or 15% of revenue, consistent with the prior year as a percent of revenue. Expense growth from the prior year reflects continued expansion of our go-to-market resourcing in both U.S and international markets, while travel related costs continue to run below normal levels due to COVID-19 impacts. G&A expense was $13.7 million, or 19% of revenue, down from 22% of revenue in the prior year period. As noted previously, G&A is our most leverageable cost area and is declining as a percent of revenue in line with our expectations. Adjusted EBITDA for the first quarter was $7.8 million, which was ahead of our guidance due to the better-than-expected revenue and lower expenses I just referenced. Adjusted EBITDA margin was 11% for the quarter, up from 6% in the prior year period. This represents our 12th consecutive quarter of adjusted EBITDA profitability, which we believe is an important indication of our ability to generate high levels of subscription revenue growth on a profitable basis. Non-GAAP net income per share for the quarter was $0.04 based on approximately 135.7 million fully diluted weighted average shares outstanding. Turning to the balance sheet and cash flow, we ended the quarter with $348 million in cash, cash equivalents and short-term investments and we remain debt free. Free cash flow was negative $25.5 million in the quarter compared to negative $22.9 million in the prior year period. As a reminder, the first quarter is typically our low point for cash flow in the year due to the timing of working capital. I'd now like to finish with guidance beginning with the second fiscal quarter. We expect total revenue of $71.5 million to $73.5 million, subscription revenue of $37 million to $38 million, adjusted gross margins are projected at 57% to 58%. We expect adjusted EBITDA of $1.5 million to $2.5 million, and our non-GAAP net income is expected to range from $500,000 to $1.5 million, or $0.00 to $0.01 per fully diluted share. For full year fiscal 2022, we are increasing our guidance to total revenue of $298 million to $304 million, subscription revenue of $152.5 million to $155.5 million, adjusted gross margins are projected at 58% to 59%. We expect adjusted EBITDA of $19 million to $21 million and our non-GAAP net income is expected to range from $11 million to $13 million, or $0.08 to $0.10 per fully diluted share. To wrap up, we got off to a strong start in the first quarter. We're seeing strong demand activity from new prospects and existing customers who are embracing the opportunity for better business performance from running their business on Duck Creek OnDemand. We remain confident in our ability to continue generating strong levels of growth and increasing profitability in the years to come. And with that, we'd like to open up the call to Q&A. Operator?
Operator: Thank you.  Our first question comes from Saket Kalia, Barclays. Your line is open.
Saket Kalia: Okay, great. Hey, Mike. Hey, Vinny. Happy New Year, and thanks for taking my questions here.
Mike Jackowski: Happy New Year.
Saket Kalia: Hey, Mike, maybe just starting with you. You touched on this a little bit in the prepared remarks. But maybe if we can just go one level deeper, can you just maybe qualitatively talk about the number of opportunities you're seeing? And maybe how win rates have trended through the quarter? I think last quarter's result, maybe drove some investor questions on whether other competitors were getting more competitive with -- in SaaS opportunities. How do you sort of think about those things with another quarter under your belt here?
Mike Jackowski: Yes, thanks, Saket. I would say that we have a healthy number of opportunities in the pipeline. In fact, our pipeline continues to strengthen quarter-over-quarter, so we're pleased to see that. And in terms of our win rates, we're not going to talk specifically about win rates, but I'll say that going through the past two quarters, we don't see them has changed in any material manner. So, I think we're set up very well as we start the fiscal year, as I stated in the prepared remarks. And in terms of our competitive positioning, I think we're really pleased with where we're at. In fact, we've had several exciting wins, last quarter and this quarter, that we know that those opportunities were very, very well vetted against competition. And we got feedback, really positive feedback on our platform, really our superior low code platform and our differentiator with our SaaS solution. And I think our win at SECURA is one great example of that. They did a very intensive evaluation process and looked at many vendors across the landscape. And we're really pleased with the outcome, as I said in the opening remarks.
Saket Kalia: Got it. Got it. That makes a ton of sense. Vinny, maybe for my follow-up for you. I was wondering if you could just talk a little bit about just the pace of implementations. Clearly, the pipeline here sounds good in the coming quarters, but you spoke about the seasonality of revenue and gross margin here in Q2. I know we don't talk about ARR specifically, but -- is there anything that you could give us just in terms of how to think about ARR sort of trending in Q2 or kind of through the rest of the year qualitatively, of course.
Vinny Chippari: Yes, sure. Hey, Saket. So, the thing I'd say is in fiscal '21, we kind of had an unusual trend in ARR growth, where the second quarter was our largest sequential growth quarter, and the third was our lowest. I think last year was the aberration. If you look back to say, fiscal '20, the second quarter was our lowest sequential ARR growth quarter of the year, and that's more typical. And the reason that’s more typical is really tied to seasonality. Q1 is not a -- is generally not our strongest bookings quarter, even though Q2 is generally a strong bookings quarter, and we expect it to be again this year, most of that doesn't make it into ARR during the quarter. So, I think just qualitatively, you could expect to see kind of a return to more normalized trends, where Q2 won't be our strongest ARR growth quarter sequentially. And I think you'll will see more like the trend of two years ago where Q2 is a bit lower and Q3 is a bit higher.
Saket Kalia: Got it. Super helpful.
Vinny Chippari: But, Saket, that's going to come off we expect to be really strong Q2 bookings quarter, which would translate into more ARR growth in the second half of the year.
Saket Kalia: Yes, absolutely. Very helpful, guys. Thanks very much.
Vinny Chippari: Thanks.
Operator: Thank you. Our next question comes from Bhavan Suri of William Blair. Your line is open.
Bhavan Suri: Hey, gents. I’m going to echo Happy New Year and congrats. So solid quarter there. I guess, Mike, I want to touch on cybersecurity here a little bit. When we talk to carriers this is kind of focus on cyber, sort of -- they are trying to figure out how to do it, how to price it, you're seeing some of the kind of emerging players like these native cloud presently like CyberCube and others coming up there. How are you guys seeing that market evolve? And how do you think about their market in terms of partnering, acquiring? I'd love to get some sense of that, especially as we -- the cyber and ransomware and everything becomes more critical.
Mike Jackowski: Yes. Thanks, Bhavan. Yes, well, obviously, you're asking the question, because cyber is one of the faster growing product lines in the industry for good reason. There's a lot of carriers that need to provide protection. What we do see out there though, is how carriers go after cyber and how they price it, varies greatly in the industry. Some bring in solutions that look at the topology or look at the inside of a -- their customer and what's going to happen, others just look at the overall landscape. So, they're bringing a variety in a vast variety of technology to go evaluate cyber. So, our strategy to date is, first, a lot of cyber that you do see is an add-on coverage, not a standalone product. So, we do support the ISO add-on coverages right out of the box. So, I think that helps. So, we can attach cyber to other products. And then secondly, in terms of technology, we've really been partnering with leading insurtech, some of them that you've mentioned, to make sure that we can integrate out of the box and bring some of those solutions to bear because there isn't a one size fits all for carriers and we want to make sure that we're very well-positioned to adapt to the way that they're going to view cyber. And that's been our approach to date. We're always actively looking for new companies to go acquire or kind of partner with and we're going to continue to do that to make sure we perform well with cyber insurance.
Bhavan Suri: Gotcha. Gotcha. And then one more sort of more near-term one for both of you guys. There's always this labor shortage, and it's in every industry. But I wonder as you think about implementations, which despite the low code environment you have still requires people because this process changes everything else. And between a shortage at, say, your partners, Accenture, whomever, and then potentially a shortage at your customers in terms of headcount, and then potentially even your services group, which is running ultra-hot right now, as you can see gross margins. But -- and then you have to hire salespeople, and you have to hire R&D because you're doing innovation. Is there any sort of risk as you guys see this playing out for slower implementations? Or you're not being able to hire enough sales headcount or R&D headcount, for example, like what you did in New South Wales? But how should we think about what this labor environment means for you, and then for your customers and implementations? I'd love to get a sense of how you was thinking about that strategically, as kind of the leader of the firm.
Mike Jackowski: Yes, and obviously, with the great resignation and a lot of, I'm going to say higher attrition, that I can say broadly in the industry across the technology industry, everyone's paying attention to it. I will say that I'm pleased with where Duck Creek is at. We've invested quite heavily in our employee engagement, in our culture, many dimensions and I think we've handled the pandemic very well. And that resulted in us having more favorable retention rates I think others are seeing in as technology company. So, I think that's helping. But to your point, it's still a watch item for us. As Vinny and I have spoke about even on prior earnings calls, keeping up with hiring and getting people on boarded is something I think we're doing well. We're growing in our headcount quite a bit, but we are falling a little bit short of some of those expectations. Now, it's nothing at an alarming level. And we're working well with our partners, but I would say it's a watch item for us. And right now, we're not seeing a material impact on it. You can have an impact on any given project as you try to shift some resources around, or work with different partners. But I think the way we're really addressing is continuing to work with our leading systems integrators that are out there. We've added a new one with Hexaware this quarter, we're now up to 20. And I think we have an enormous amount of capacity through that ecosystem and that's helping us quite a bit as well.
Bhavan Suri: That's super helpful. Thanks for taking my questions, guys. Really appreciate the color.
Operator: Thank you. Our next question comes from Rishi Jaluria of RBC. Your line is open.
Rishi Jaluria: Hey, guys. Thanks so much for taking my questions. Good to see some offset in the numbers. Maybe I wanted to drill into that first. I appreciate all the commentary on what you're seeing with your customers. But if we rewind the tape back, 3 months, you kind of gave us outlook and clearly came ahead of it. What would you maybe attribute the upside of the quarter and the better outlook to? Was it better execution? Was it a better improving environment? Anything else you could pinpoint on that that'd be helpful. And then I have a follow-up.
Mike Jackowski: Rishi, I'll start with that and I don’t know Vinny wants to add. I'll just say that I think this quarter has lined up with our expectations and what we stated coming out of the quarter. We continue to see some great activity with Tier 1s and many opportunities through the pipeline. We close some nice deals in the quarters we talked about. And I think it sets us up very well for the year. Vinny, I don't know if you want to add.
Vinny Chippari: Yes, the one thing I I'd point out is like I think where we had indicated we'd be coming out of subscriptions, we beat by a little bit. We are feeling good about the sales pipeline and where we stand. But actually in Q1, the larger revenue outperformance was in the services where demand is really been fairly off the charts and our utilization rates are running really high. So, I do think on the services side now back off a little bit -- a bit in Q2, from a margin perspective probably noticeably. But we're just we're pleased with the momentum kind of across the board in Q1.
Rishi Jaluria: Yes. Got it. That's helpful. And then Vinny for you, as we think about SaaS gross margin line, obviously, there are some maybe one-time-ish benefits in the Q1 to Q3 of last year. Just how should we be thinking about that line going forward? Can you remind us of some of the puts and takes of why it's dropped? And then maybe the glide path to get to that long-term model you laid out at IPO of 70% to 72% SaaS gross margins?
Vinny Chippari: Yes, sure. What, as you pointed out, we knew we're benefiting from some timing of just how product was going onto the platform last year, and we weren't sustainable in the high 60s where we're performing. We did we come back into the mid-60s. And we did and that dynamic is fueled partly by headcount, but also by infrastructure costs and the infrastructure costs are hosting on the Azure platform. And the hosting costs came in actually just a little bit higher than we expected, as we're putting a lot of DWP on the system. So, we do think Q1, kind of will be the annual bottom of margin for the subscription line. But I think that, the kind of climb back out, is going to be gradual. So, I think we'll see small increments to progress through the balance of this fiscal year. The full fiscal year should still come in in the mid-60s. And then I think you'll see over the next few years of progression up into the low 70s. And we don't think the long-term target has changed in terms of what the number is, or when it's achievable it's probably into the low 70s over the course of the next few years.
Rishi Jaluria: Wonderful. Thank you so much, guys.
Mike Jackowski: Sure.
Operator: Thank you. Our next question comes from Alex Zukin of Wolfe Research. Your line is open.
Alex Zukin: Hey, guys. Thanks for taking the question. Mike, maybe just the first one for you. Coming out of last quarter, we talked about sales cycles being a little longer because the kinds of value than the kinds of deals that you're negotiating with customers now are for even greater amounts of value, I wanted to ask, given the really strong net retention rate you guys put up this quarter, just give us a sense for that selling environment, those selling cycles, particularly as we're kind of now in '22. And another year removed, hopefully, from what definitely likely extended sales cycle globally, for many firms doing complex deals, just would love to get your sense for kind of where we are at this point.
Mike Jackowski: Yes, thanks, Alex. I would say when you referred back to last quarter's comments in the sales cycles, we made a comment on some of the Tier 1 activity and some of that stretching out. But I just want to say that we continue to see great activity with our Tier 1 prospects and existing customers. And obviously, we always want to sign up a new Tier 1. And then also selling back into our customer base is obviously, yielding favorable net dollar retention numbers for us. But we're excited about the strategic conversations that we're having with these carriers and their long-term move to the cloud. They're really looking at it maybe by a line of business or a product line basis. But anytime we can establish a new relationship with a Tier 1, that's really strong for us. And some of these opportunities are taking shape and we do expect some to occur in the second half of the year. So, I think that's good. And I think it's unfolding, as we indicated last quarter, and we're pleased with the results that we have right now.
Alex Zukin: Perfect. And then Vinny, I want to go back to the first question. I think you gave some great color around the shape of net new ARR in terms of how we should think about the modeling for the next two quarters. I wanted to ask, if you think about the linearity of these bookings, both from last quarter and maybe even what you talked to for next quarter. As a percentage of the full year, should we think about the seasonality and kind of Q1 to be closer to kind of the last 2 years and that low 20s percentage? Or is there something given the linearity with what Mike just described around those sales cycles, the second half concentration, is there something that else that we should kind of keep in mind as we sync  our models for the year?
Vinny Chippari: Well, I think I don't want to state specific percentages that's always hard to do. I think, our expectation is that this year, from a bookings perspective first, not from when it makes the ARR perspective. But from a booking perspective, I think we're going to return to our historical norm of on a percentage basis, Q2 and Q4 being noticeably higher than Q1 and Q3. And typically, it would not be a typical for Q1 to be our lowest percent of the year in terms of percent of bookings. And that is likely to hold up again this year. I -- what the exact number is, I don't want to disclose right now, but we do think it will probably be more on the normal historical side. So, I think in terms of the first half, second half blend, again, I think that hasn't varied all that much year to year other than individual deals. And we think that's probably pacing towards the normal kind of outlook also.
Alex Zukin: Okay, perfect. Thank you, guys.
Vinny Chippari: Yes.
Operator: Thank you. Our next question comes from Jackson Ader of JPMorgan. Your line is open.
Jackson Ader: Great. Thanks. Actually, Vinny, just a follow-up on that. There was a lot of discussion in the first quarter about that, being a little bit more conservative, I guess, in the outlook for the Tier 1 activity. What is our new level of confidence here in terms of that Tier 1 activity, closing in that second half of the year?
Mike Jackowski: Yes. hey, Jackson. I think -- I don't think our view on really bookings trends, more Tier 1 activity levels has changed from what we've indicated coming out of last quarter. I think we're still taking a relatively conservative view on a couple of specific Tier 1 opportunities that are kind of framework kind of deals. We're not -- we do think those come later in the year and don't have a huge revenue contribution of this year, but that we're still positioned really well in those accounts. So, I think the -- from an overall perspective, I think -- we think the situation is consistent with what we laid out coming out of Q4.
Jackson Ader: Okay. Okay, cool. And then, Mike, as a follow-up, the international deals that you mentioned. I think if I'm characterizing them correctly, they were more startups in nature, right, like, kind of brand-new type of insurtech companies. And I'm curious, are you beginning to position yourself to maybe win deals with existing insurance carriers that have significant amounts of DWP? Or should we still think about the international expansion being mostly startups and new launches and that sort of business model?
Mike Jackowski: No, I would say that, Jackson, we are positioning ourselves as usual to sell to carriers of all sizes, in all tiers, even in international markets. These were two opportunities where they were new formed companies that had an innovation -- an innovative value proposition and -- but we're also in some very advanced discussions with other carriers in some of those markets that are actually quite large. So, I think the strategy hasn't changed, which is to pursue opportunities, tiers one through fours. And then even within existing carriers sometimes will target a new startup book of business, and maybe  get something to market. At the same time, we can focus on replacing the book. So, I think some of that is just the timing of the deals that came through. But I don't think it's any shift in our philosophy of how we're selling into carriers.
Jackson Ader: Right. Okay, great. Thank you.
Operator: Thank you. Our next question comes from Brad Sills of Bank of America. Your line is open.
Michael Funk: Yes. Hi, it's Michael Funk on for Brad. I appreciate you taking the question. So, a couple if I could. So going back to your guidance for the full year and the increase looks like about 100% of that change at the midpoint is simply the 1Q beat that actually imply a deceleration in the rate of absolute revenue growth quarter-over-quarter throughout the year. Is that just conservatism or does that go back to your comment about expectation for service revenue trailing off throughout the rest of the year?
Mike Jackowski: Yes, I think the bulk of it is tied to the service -- services revenue assumption. Although, again, we're not getting more aggressive on our assumptions on subscription revenue. So, I think our approach was we're happy with the Q1 over performance. And we're going to see how we pace going into Q2 and coming out of Q2.
Michael Funk: Got it. Thank you. And then thinking about international and the opportunity there, historically we've seen over in Europe specifically there, but slower to adopt technology, SaaS in general. But when they do, they generally ramp at a similar pace to the U.S as a whole. Is that your expectation? Do you see opportunity for greater growth, greater adoption out of the non-U.S. markets as they ramp up the technology?
Mike Jackowski: Michael, I would say that we have an opportunity for greater adoption over there relative to our current installed base, just because the size of our business over there is smaller. I don't know if it's going to be because they're going to adapt faster, or behave differently than what we see in North America. We do see European companies being more conservative when it comes to cloud and SaaS today. They're carriers asking us more often, if we would sell an on-premise solution, which we won't. So, that's not available for us as a winning proposition over there. And now, we are seeing that trend turn and we're seeing the uptake of SaaS adoption in Europe, but I think it's a little bit slower. But I don't think that what's going to drive our numbers is because there's a higher pace of adoption. I really think it's just as we open up markets and get reference points, then we have a chance to start to parlay additional deals and grow from there.
Michael Funk: Great. I appreciate the time. Thank you.
Operator: Thank you.  Our next question comes from Parker Lane of Stifel. Your line is open.
Parker Lane: Yes. Hi, guys. Thanks for taking my question. Obviously, a big opportunity with core solutions, so I was hoping you could touch on the noncore for a second. And particularly, when you think about Tier 1 and Tier 2 accounts, the new count activity, how often is noncore serving as that initial hook into an account versus core? And I guess just more broadly, what the demand been like there for the noncore solutions for customers that are not currently using Duck Creek's platform? Thanks.
Mike Jackowski: Sure. Thanks, Parker. I would say that, we're continuing to see adoption of our noncore solutions. In fact, a number of deals, where we had our distribution management solution, bought through or insights solution added on. And then also where we've had some relationships with carriers because we were in there with a product called Turnstile, which is a product that allows carriers to adopt form -- ACORD forms and move that data into a quoting experience. So, we think this strategy of landing with smaller assets into accounts is helping. But what it is going to do is from an ACV, or bookings point of view, it's going to lean, our new bookings in a quarter more towards expand because our land deals will be smaller. So, we're continuing to see success in the overall strategy.
Parker Lane: Got it. And then going back to international, obviously, some nice wins there. Can you give us a sense of how those deals were sourced in the first place so that your new sales people are going directly to those accounts, figuring out what their challenges were, were they partner driven, maybe inbound RFPs and then what is the build outs of the sales force look like internationally today? And what does that look like throughout 2022 from a hiring standpoint? Thanks.
Mike Jackowski: Yeas, great. What I would say is that those deals were sourced in the local sales team, who are pursuing ideas, I don't know if they were in the initial inbound of RFP or originated in some other manner. But we got into a favorable position, we can demonstrate our capabilities and really bring line of sight of how they can get up and running very, very quickly. So, we're really pleased with the outcome. But again, it wasn't partner driven, it was really our local team on the ground. And then in terms of hiring, I think we've talked about this a bit in the past. But our model is to go-to-market direct with local sales force in those markets. And I think building out not only your sales function, but your pre-sales, sales consulting and solution architecture functions, so that you have the team on the ground, they can build the right demos, they can be there for answering the complex questions, and put together high-level estimates in terms of cost and what it's going to take to put a solution in. So, we continue to build out those teams in continental Europe. Obviously, we made those investments in Australia, a couple years back, so just pleased to see the momentum on that. And we saw a nice win in the U.K because of that team. So, we continue to build that out. But, again, I think that's a disproportionate amount of our investment in sales and marketing year-over-year that's going to those international markets.
Parker Lane: Yes. Appreciate all the feedback, Mike.
Mike Jackowski: Okay.
Operator: Thank you. Our next question comes from Alex Sklar, Raymond James. Your line is open.
Alexander Sklar: Thanks. Mike, I’m going to follow-up on your answer to Parker's first question in terms of the percentage of growth coming from the existing pace having picked up. Can you just talk about is that been a structural change kind of your go-to-market that's driven that? And then any color on your -- on how your pipeline breaks down from a new logo versus expansion perspective? Thanks.
Mike Jackowski: Yes. Alex, and I'm assuming you're asking that question in terms of our land versus expand. Is that right?
Alexander Sklar: Yes, that's right.
Mike Jackowski: Okay. Yes. And I think we continue to see signs of success on that. Now, I'm pleased with the new logos that we've seen. Last quarter, I talked about Arbella and Starr, two competitive wins. And this quarter, three new SaaS customers who have come on. So, from a logo perspective, we are seeing just us add new customers onto the base. That's nice. But as we've indicated earlier, in a couple of accounts, we've been able to land with smaller assets, like distribution, management, or turnstile product or something else, and then cross-sell that into a core solution. And what ends up happening is that ends up getting accounted as expand revenue. So, I think that strategy is working, just because anytime that we have an opportunity to build a relationship with a carrier that just allows us to be in essence on the inside, if you will, or just in a favorable position for a new upcoming opportunity. So, I think that is intentional on the strategy. So, I think to answer your question, your last question on the pipeline, when we look at the pipeline, it looks like it really has a nice balance between new customer and prospect opportunities versus selling into the base. I just think the bookings number, as it all unfolds, is going to lean still a little bit more favorable to the expand. And that's resulting in high net dollar retention. Although we still think we're running higher than expected in those numbers at some point will likely come down a bit.
Alexander Sklar: Okay, got it. Very helpful. And then just following up on the Tier 1 activity commentary, can you just provide an update on kind of how those conversations are progressing? I appreciate the conservatism, but what are the key factors to get those deals across the finish lines in here?
Mike Jackowski: When we're talking to Tier 1, it's really about their strategy. And what did they want to get done this year? And do they have through their governance those budgets approved, and those projects ready to move forward? So, most of those conversations tend to be along the lines of something that they want to get done, whether it's launching a new geography or if it's bringing a new line of business to market. And I think they're progressing well. We're working with some carriers that want to get some things done, and perhaps aren't quite ready to move forward. But we think we have a good opportunity to do so. So, again, I -- we're encouraged by the discussions that we're having. And as Vinny indicated earlier, I don't think our point of view is unchanged of what we communicated from Q4.
Alexander Sklar: Thank you.
Operator: Thank you. Our next question comes from Saket Kalia of Barclays. Your line is open.
Saket Kalia: Hey, guys. Thanks for having me back here. I just want to ask one question for both of you kind of interrelated. So, Mike, I was wondering if you could just talk a little bit about your existing customers, and what they're saying about potentially converting to Duck Creek OnDemand. I know that that's not something that Duck Creek actively pushes customers to. I think you've been very clear about that in the past. But I just wonder what the customer appetite is for those existing customers that aren't on Duck Creek OnDemand. And the related question there for you, Vinny is, can you remind us if you've assumed any conversions in your guide? Because if I remember correctly, those can be nicely revenue accretive. So sorry, there was a lot there. But does that all make sense?
Mike Jackowski: It does, Saket. And I would say that, we continue to advance conversations with our on-premise base and we're talking to a number of them around what's the right timeframe for them to convert? As I've indicated earlier, with our low code platform, if they're running our ISO templates, and running some of these capabilities that we deliver on top of the low code platform, we can push out those circulars and those changes even in their on-prem environment. And so many of them are in a good place. And we haven't created a forcing function, if you will, to force them into Duck Creek OnDemand. And then finally, we really like to rally with our customers or work with them on a strategic priority. Because it's not just about a lift and shift, it's about something else that they want to get done, or take advantage of some of our more advanced features that we've launched over the last couple of years. And we've advanced many of those conversations. So -- but I think for us, instead of having a whole stockpile of them, you're going to see kind of a cadence of several of these conversions throughout the year. But we're encouraged about the advanced conversations we're having with them.
Vinny Chippari: Yes, and Saket, just to jump in on the last part of your question. When we do guidance and project out our results, if we have a known event, we will factor it in. But we don't project of any number of conversions that kind of aren't like kind of deep pipeline, late-stage pipeline known events. So, I think we might have one or two conversions built into this forecast. But those are kind of known customer events. And we don't generally give ourselves a target to go out and get X number included inside the forecast.
Saket Kalia: Got it. That's what I thought. Thanks very much, guys.
Operator: Thank you. Our next question comes from Joe Goodwin of JMP Securities. Your line is open.
Joe Goodwin: Great. Thank you so much for taking the question. Can you just give us an update on what you're seeing from customers opting into multi-tenant deployments?
Mike Jackowski: Sure. In terms of our multi-tenant solution, I'll say that, pleased with the overall adoption of it. We're not getting into the accounts -- the numbers and accounts because driving customers are mandating multi-tenant or single tenant is not what we're doing. We're not going to lose a deal because of lack of choice. But I will say that over the past couple of quarters, not only have we had more adoption of our multi-tenant solution, we've had multiple customers go live on it, some and I'm very happy with the diversity of those carriers. Some that are Tier 1s with very large books, and some that are Tier 4s and small books. So, I think it's a proof point that a single platform and a single multi-tenant backplane can support multiple complex carriers. So, we're very happy with the progress that we're making. But again, it's still early in our lifecycle and we're going to be running in mixed mode for many years to come. So, again, it's not a major focus point in terms of the accounts and where we are with multi tenancy right now.
Joe Goodwin: Understood. Thank you. And then can you provide an update on the CFO search and how that's going?
Mike Jackowski: Yes, I can. I would say that it's going well, and I'm really happy with the progress that we've made. And I'm really pleased with the interest and the response that we've had from the market. It's a great response with some leading candidates. So, I think that is just a validation of the strength of our company, our reputation, and certainly the incredible opportunity that we have out in front of us. But I will say that we'll announce a new hire when we can. And -- but it's our priority right now just to find the right person. But I will say we have somebody that has big shoes to fill, because I think everyone knows it, Vinny, just a terrific CFO. But we're excited about the prospects that we're seeing right now.
Joe Goodwin: Absolutely. Thank you.
Operator: Thank you. That concludes today's conference call. I will turn the call over to Mike Jackowski for any closing remarks.
Mike Jackowski: Okay. Thank you, everyone for joining us in our fiscal year '22 Q1 earnings call. And again, I'd like to highlight that we're off to a great start to our fiscal year, as we continue to grow our SaaS ARR by signaling -- by signing multiple Duck Creek OnDemand customers and deepening our relationships with existing customers. We're encouraged by some of the wins that we've had outside of the U.S., showing some early signs of success of our international growth. And again, I want to emphasize that we're still in the early stages as the industry migrates core platforms to the cloud. And we see our success this quarter is continued evidence that we are well-positioned to take advantage of this significant opportunity. Again, I appreciate everyone joining us today. Thank you, and please be safe, healthy and well. Take care.
Operator: Thank you. Ladies and gentlemen, that does conclude today's conference. Thank you all for participating. You may now disconnect.